Hanna-Maria Heikkinen: Hi all, and welcome to this news conference for Wartsila Q4 '25 results. My name is Hanna-Maria Heikkinen, and I'm in charge of Investor Relations. Today, our CEO, Hakan Agnevall, will start with the group highlights. He will continue with the business performance. And after that, our CFO, Arjen Berends, will continue with key financials. After that, we will discuss the dividend proposal and also the outlook. After the presentation, there is a good opportunity to ask questions. Time to start, Hakan.
Håkan Agnevall: Thank you, Hanna-Maria, and before you leave, congratulations. You were voted to the most popular investor relations professional in Finland.
Hanna-Maria Heikkinen: Thank you, Hakan. And thank you, first of all, to Hakan, Arjen and all of the Wartsila management, but also all of the analysts and investors who have been engaging in our dialogue and providing very inspiring questions. Thank you.
Håkan Agnevall: Yes. Thank you. Thank you. So Q4 and 2025, I think this has been a great year and we are on a great journey, I would say. If I sum it up in one word, great. But you also need to look a little bit beyond, and I will come back to that. So if we start with Q4, all-time high operating profit and cash flow. And look at the order intake, and if we focus on Energy and Marine, it's developing quite positively. So Marine order intake increased by 8% while the organic growth, which when we exclude FX impact and impact of acquisition, was actually 11%, double digit. On the Energy side, the Energy order intake increased by 4% while the organic was 13%. So also there, double digit. Now total order intake, and this is where it gets a little bit complex, the total order intake for the group was down 11% to EUR 2.2 billion due to two drivers. Basically a strong comparison period on Energy Storage. Energy Storage had decent order intake in Q4 2025, but it was very strong in the year before. In general, we continue to have a challenge on order intake in Energy Storage. And then the second driver for the down 11% is the divestment in Portfolio Business, which is actually we are in a good trajectory divesting the business units. But as we take them out, it has an impact, of course, on our overall order intake for the group. But key message is, Marine and Energy, double-digit organic growth. Now we also continue to have a strong order book, around EUR 8.2 billion, and that is after the elimination of about EUR 900 million related to the divestments. Net sales increased by 8% to about EUR 2 billion. And then we continue the journey of improving our operating profit. So comparable operating results increased by 23% to EUR 256 million, and that is 12.8% of net sales. Operating results increased by 10% to EUR 251 million, and that is 12.5% of net sales. And then on services, a lot of attention on services. The 12-month rolling book-to-bill continues to be above 1. On the Energy side, it was 1.1, and on the Marine side, it's 1.01. And cash flow, and Arjen will talk more about that, strong cash flow from operating activities of EUR 652 million. So strong Q4. And if we look at the full year, we have all-time highs in four key metrics: so in order intake, in net sales, in operating results and in cash flow. So a very strong year. Now I will talk through these numbers, and I will do it rather quickly. Because of these effects on portfolio and storage, we actually made an additional slide this time where we drill a little bit deeper. But if we start with the group level's order intake, you could clearly see it's down 11%, EUR 2.2 billion. Net sales is still up with 8% to EUR 2 billion. Book-to-bill also on group level, 1.11, clearly above 1. Comparable operating results, up 23% to 12.8%. Operating result, up 10% to 12.5% of net sales. Then looking at the full year before we move on. Order intake, rather flat on group level. Net sales, up 7% to EUR 6.9 billion. Book-to-bill for the full year, 1.17. Comparable operating results, up 20% to EUR 829 million, which is 12% of net sales. And finally, the operating result, up 16% to EUR 833 million at 12.1% net sales. And that's a milestone, the 12.1%. You remember our old financial targets for the whole group, we achieved them, and now we move on. Now this is a little bit breaking down into details because this is the underlying message. So let's look first -- this is our full year numbers. Let's look at Marine and Energy combined and then Energy Storage. So here, you see a little bit different picture. So order intake was actually up on full year 17% to EUR 6.9 billion. Even if you look at organic growth, it's even higher, it's 20%. If we look at service and equipment, it's flat on service, but we do have an FX effect here of about 4%. Equipment is up 43% to EUR 3.3 billion. Order book, up 18% to EUR 6.7 billion. Net sales, up 12% to EUR 5.5 billion. And organically, it's even up 15%. You look at the services. Services is actually up 6%. It's up 10% if you look organically. Equipment, up 22% and book-to-bill moving to 1.24. And comparable operating results, up 21% to EUR 758 million, and that is 13.7% of net sales. We are on a good path, solid path to reach our targets of 14% for Marine and Energy combined. Now that's all good, developing really well. We do have and continue to have a challenge on storage. I mean, you can clearly see it here. Order intake has been a real challenge during 2025. So order intake is down 60% to EUR 455 million. If you look at the order book, it's also down 36% to EUR 719 million. Net sales, down 13% to EUR 694 million. And book-to-bill, clearly below 1 at 0.66. And comparable operating results also deteriorated to EUR 24 million, 3.4% of net sales. So still within the 3% to 5% EBIT span that we've been talking about. The team is doing a good work in executing projects and delivering and doing that in a profitable way. But of course, order intake is a major challenge. Now looking at our two industries, some comments on the general industry development, starting with Marine. I mean the sentiment for our key segments remain on a good level. Of course, overall contracting in 2025, decreased from the extraordinary activity levels we saw in 2024. So the number of vessels ordered in the review period decreased to 2,000 about from 2,400. Now one driving factor, the regulatory uncertainty, but also high newbuild prices and softer market conditions affected negatively the newbuild investment in some segments. Ordering has been rather uneven across vessel segments. But the appetite in our core segments -- in Wartsila's core segments, cruise, containerships and LNG bunkering vessels has been rather good, and contracting in our key segments are expected by Clarksons and by ourselves to remain clearly above the 10-year average level. Shipyard order books are at the highest level since 2009 and shipbuilding capacity expansion is primarily in China. In January to December, 366 orders for new alternative fuel capable ships were reported. That's about 37% of the total, so to say, which is down from 50% in the comparison period. And that is mainly mix driven because during the last time, there has been a bigger share of tankers and conventional bulk carriers, so to say. But the key thing here, when we see the graphs here, is still the same message. If you look on the overall demand, it is still below -- the forecast from Clarksons is still above, sorry, the 10-year average. Focusing on Wartsila core segments, it's clearly above the 10-year average. Energy market. Increased demand drives the energy transition and investments in the energy transition and it continues. The transition continues to move forward. Two key things stood out in energy-related macroeconomic development in 2025. One was load growth and the other was tariff-related uncertainty. The investment environment for energy technologies has improved along with global macroeconomic conditions. In engine power plants, the market demand for equipment and services has been strong. Demand for baseload engine power plants is expected to remain stable with further growth opportunities in data centers. The driver for engine balancing power plants continue to develop favorably. In the battery energy storage, the demand is closely linked to the increasing share of intermittent renewables in the energy system, which continues to progress strongly. The U.S. market is still facing regulatory headwinds, though several drivers remain solid with data centers also for storage as a potential new opportunity going forward. And after significant growth driven by solar up to the mid-20s (sic) [ mid-2020s ] renewable capacity addition are expecting to decrease slightly in 2026. Growth prospects towards the end of the decade, though, remain solid. So there is still definitely a positive trend. So going through the numbers, looking at the graphs, and now we are back to group level. So organic order intake decreased by 4%. Order intake decreased by 11%. But as we talked about, Marine order intake increased by 8%. Energy order intake increased by 4%. Energy Storage, though, order intake decreased by 40%. If we look at equipment overall, equipment order intake decreased by 15%, primarily driven by storage, and service order intake decreased by 5%. We have a strong order book, and rolling book-to-bill continues above 1, I think now for the 19th quarter -- consecutive quarter. But as we talked about, the order book decreased due to the elimination of about EUR 900 million related to divestments in Portfolio Business. Now this is a new slide that we have added, and our intention is to keep this as a standard slide in our reporting going forward. And we are really trying to describe how our order book will translate into sales going forward. So because the existing order book will generate sales that is distributed further into the future. So here you can see the distribution in time of the deliveries of the existing order backlogs for 2024, 2025 and 2026. And you clearly see how it is stretching out. We have also given the numbers and the size of the order backlog to help the analysis. And you can say there are two driving factors here that you really need to look very careful on. First of all, we are selling capacity further and further out in time. And that is, of course, a function of a hot market, so to say. And the other major driving factor, as you know, in Energy, we are very much about equipment deliveries and much less on EPC deliveries these days. And there are two different revenue recognition models. I mean, basically, the EEQ, you could say the major revenue recognition, it's rather lumpy because it's actually when you deliver the engines. And that is different from the EPC way because the EPC way, you could say you gradually continuously over the project recognize sales. So these two factors really affect how we think about translating the timing, how we translate the order backlog into sales. Very important going forward. Organic net sales increased by 16%. Net sales increased by 8%. Marine net sales increased by 10%, and Energy net sales increased by 29%. Energy Storage, though, net sales decreased by 20%. Overall, equipment net sales increased by 15% and service net sales remained stable. Profitability continued to improve. Net sales, we talked about, that increased by 8%. Comparable operating result increased by 23%, and the comparable operating margin 12-month rolling to 12% from previous 10.8%. Now technology and partnership highlights. There's a lot of exciting things happening. As you know, Wartsila, it's all about innovation and technology and services. And there, we are really making progress. First of all, data center orders. We continue to break into the U.S. and global also data center market. We talked about it, that off-grid data centers really growing in its market, so to say. And the power need is, in many installation is right in our sweet spot. So this is the example from end of last year, where we got an order of 507 megawatt power plant supplying data center in the U.S. We continue to grow. And we will deliver 27 engines to provide continuous primary power for a new data center in construction in the U.S. The on-site power facility will operate with this 24 (sic) [ 27 ] Wartsila 50SG engines with a power of 507 megawatts. They will run on natural gas that can later be converted to run on sustainable fuels in the future. And the order was booked in our order intake in Q4 2025. The equipment will be delivered in 2027. Then moving to Marine. We had our second order for an ammonia engine on the Marine side and to a Norwegian customer, Skarv Shipping cargo vessel. So we will provide our advanced Wartsila 25 Ammonia solution to power a new cargo vessel for Skarv. And this vessel will be built at the Huanghai shipyard in China, and it will be the first newbuild to benefit from the solution. And this order was also booked in our order intake in the fourth quarter of 2025. You have also seen the other press release that we have made this morning, and it's about setting us up for continued growth, further investments in our capacity. So we will expand our production capacity in Vaasa in Finland. We will expand the technical capacity with 35% to meet the global increase in demand in Energy and Marine. We will invest about EUR 140 million to further expand our production capacity with 35% in our STH technology center and also in the associated global supply chain. The vast majority of the investment is in STH. This expansion will increase our industrial capacity and strengthen the capacity of the associated global supply chain. And the new capacity will be installed within the STH expansion that we announced in April 2025, and it's expected to be commissioned in the first quarter of 2028. So a major step for STH in Vaasa. I think overall now, the last few years, we have invested about EUR 400 million in Vaasa facility. But it's not only about Vaasa. We also continue to invest in our service business in a very concrete way in our global spare part distribution center in Kampen in the Netherlands. And that investment is also to continue to support the growth. So we will expand our main spare parts distribution center in Kampen by 40% and consolidate nearby leased storage facility into Kampen. And this is a smaller investment but a very important one. We will invest about EUR 14 million in expanding the facility, and we expect to have it commissioned by 2027. Then expanding capacity is a lot about the supply chain, as we all know. And I really wanted to highlight this partnership agreement that we have signed with one of our key suppliers, Siempelkamp foundry. We have formed a strategic partnership to secure the supply chain to support our continued growth. And we strengthened the supply chain by this strategic partnership with Siempelkamp in the supply, and they are a supplier to us of large cast components for our engines. And as a result, we can, in our turn, support the growing demand from our customers and the markets in sustainable technologies for the marine and energy sectors. We are also continuing our work on streamlining Wartsila, becoming a more focused and profitable company. So we have made progress in our Portfolio Business divestments. This is nothing new. But we wanted to sum up some of the metrics here to help you with the analysis of Wartsila. So as you remember, we divested ANCS, Automation, Navigation and Control Systems to Solix. The divestment was completed in the 1st of July last year. Now the annual revenue of this business was EUR 127 million in 2025 and close to EUR 230 million in 2024. And ANCS has also clearly been the most profitable unit of our Portfolio Business, representing about 80% of the operating results during the first half of 2025. So that was ANCS. Then we had MES, the divestment of Marine Electrical Systems to Vinci Energies that was completed on 31st of October last year. Here, the annual revenue of the business was about EUR 92 million in 2025 and EUR 100 million in 2024. And the group order book has now been adjusted with, in this case, EUR 620 million. So it's one big part of the EUR 900 million that I was talking about before. And finally, the divestment of Gas Solutions to Mutares is expected to be completed. We have signed and we expect to complete the transaction in the second quarter this year. The annual revenue of the business was EUR 394 million in 2025, about EUR 300 million in 2024. And after these divestments, we have one business unit left, and that is Water & Waste. And that is a business unit with an annual sales of about EUR 50 million. And of course, our ambition is to move ahead and also sign and close during this year. Work is ongoing. Now looking a little bit on our businesses, how have they developed. So on the Marine side, growing order intake and net sales as well as improving our comparable operating results. So order intake, up 8%. We talked about that. Net sales, up 10%. And if we look at the development, continuous improvement of the profitability, on the positive side, we have higher service and equipment volumes providing better operating leverage. We also have improved newbuild margins in what we have delivered, positively contributing. And on the investment side or the cost side, we do run increased R&D investing into our future. Service continues with a book-to-bill above 1. We see 9% CAGR on the net sales. And you see the different disciplines here. And then you notice, if you see agreements, it looks like it's going down. It's the blue line there. That is more periodization. Because agreements there, it's a little bit like project business, and you can have -- it could be a bit lumpy based on periodization. And you also see the retrofit business. That is really below 1 now but also there, it's project business, and we have a positive outlook going forward. So we will continue to grow in Marine service. Going over to Energy. So growing order intake as well as significantly improved net sales and comparable operating results. Order intake, up 4%. You might think that was not so impressive growth. But I look at the newbuild side there and look at the orders we announced here just in the beginning of the year, where the other week, we announced an additional 550 megawatts plus. It's about periodization of order intake of big orders, so to say. There is a strong underlying demand, and we will come back to that when we give the demand guidance. Net sales, up 29%. Here, if we look at the development of the comparable operating results, continue to improve our profitability. Also here, the higher equipment volumes provides better operating leverage. We have a better service margin mix. I can also say that we are building the margins in our order backlog, but that will be delivered later, so to say. On the same side as Marine, we continued to increase in R&D. Also on the Energy side, we continue with service book-to-bill above 1. We have had 4% CAGR. Here, you see, if we look to the right, on the Energy side, on the blue dotted line, we had a good service agreement order intake at the very last week. So periodization, here, we were a little bit lucky but the overall trend is positive. Similar to Marine, you see retrofit here. Periodization, we see underlying growth going forward. Storage. So in storage, on the positive note, we had a revived order intake development after three slow quarters. However, it was clearly below the exceptionally high comparison period in the fourth quarter of 2024. And this is why you see the order intake is down with 40%. Now we do have a challenge overall through the 2025 on order intake. Let's be very frank about that. Net sales was down as a consequence of that with 20%. If we look on profitability, which has decreased, on the positive side, as I talked about, very solid execution of the projects, I mean, in the backlog by a strong team. But the lower volumes, and also R&D, we continue to invest in R&D, is affecting the profitability negatively. Here's the bridge Q4 Q-on-Q, so to say, and how the different businesses are developing. So from the group, we go from 11.3% to 12.8% comparable operating results. Marine is up from 11.8% to 13%. Energy is also up from 15.1% to 16%. And Storage, down then from 6.9% to 4.3%. Portfolio is actually executing well, improving 3.7% to 7.4%. And overall, the comparable operating results increased by 23%. Now Arjen, over to you.
Arjen Berends: Thank you, Hakan. Very happy to talk about other key financials as they look all very, very good. Very happy with that. If we start with operating cash flow, EUR 652 million for the quarter and EUR 1.6 billion for the full year. Both on the quarter as well as the full year, it's an all-time high, as Hakan also mentioned earlier. The previous all-time high is actually also on the slide. It's EUR 1.2 billion in 2024. Great support from the profitability to the cash flow. Let's say, you can see it on the EBITDA line, which is clearly getting higher. And that, of course, over time, will convert into operating cash as well as, let's say, the working capital. Working capital, in fact, is actually at an all-time low as well. Big element in the working capital is, of course, the advances. It's about EUR 1.3 billion and a little bit more. If you exclude the advances from the working capital, still I would say it's a very good working capital level. It's about EUR 80 million positive compared to, let's say, 2 years ago at the start of, let's say, 2024, it was EUR 600 million. So working capital excluding advances being EUR 600 million at that time, now about EUR 80 million. So it's not just the advances that help us, but it's also all the good work that we are doing in other areas of working capital. Clear highlight on this slide is this, the ROCE, clearly going up. Okay, it's close to double, I would say, from previous year. And of course, that is really driven by also good profitability development and, in particular, also a very good working capital development. Solvency, I'm also very happy with. Let's say, I think it's a couple of years ago that we had a number above 40%. Now we have 40.5%, up from 37.4% last year. And earnings per share, also here, an all-time high at EUR 1.06. So I can only say that I'm super happy with these numbers. If we look at the trend, and let's say all trends go in the right direction. Cash flow, clearly, let's say, the orange trend is up and the working capital trend is down. Also good to remark here that, let's say, the 5-year average working capital to net sales line, the dotted line on the right side graph, is now for the first time in a negative number, minus 0.6. Just for reference, at the end of Q2, I think we had 2.4, if I remember right. So really, let's say, going well on a long-term basis as well. If we then move to dividend, the Board will propose to the AGM -- or has proposed to the AGM basically a base dividend of EUR 0.54 to be paid in two installments and then an extraordinary dividend of EUR 0.52, altogether making up 400% of EPS at EUR 1.06. Final slide from my side. Solid progress towards the financial targets. If we start at the Marine and Energy combined graph in the top left corner, first of all, very good growth, organically 15%. Newbuild was 25% and service was 9%. So really in both areas, really good growth. Also the orange line, 13.8% on the operating margin, really improving significantly, I would say, in Q4 on a rolling 12-month basis. Q3 was 13.2%. And 1 year ago, at the end of 2024, we had 12.8%. So it's 1 full percent up year-on-year -- percent point, I mean. On Energy Storage, as Hakan also explained already, we have been suffering from, let's say, low order intake that translates then, of course, also in lower sales, and that has a consequence to, let's say, absolute profitability as well. Still having said that, let's say, the performance was on a acceptable level, 3.3%, which is within the range of the financial targets for Energy Storage, 3% to 5% operating margin. Gearing, it further goes down. I don't need to comment too much about it. And I think the dividend distribution, I just mentioned. With these words, back to you, Hakan, on the outlook.
Håkan Agnevall: Yes. So let's look then on the guidance. So on the Marine side, we expect the demand environment in the coming 12 months to be similar to that of the comparison period. But please note that the last 12 months have been very, very strong. So we continue to -- the demand continue on a very good level, driven by our core segments. On the Energy side, we expect the demand environment for the next 12 months to be better than the comparison period and driven by -- not only by data centers, but by balancing power, other baseload. So better demand environment. On Energy Storage, we expect the demand environment in next 12 months to be better also, of course, coming from a very low level. But particular in the Energy Storage, we note that the current geopolitical uncertainty particularly impacts this business and may affect the growth. Then we make the general comment that we underline that the current high external uncertainties make forward-looking statements challenging. Due to high geopolitical uncertainty, the changing landscape of global trade and the lack of clarity related to tariffs, there are risks of postponement in investment decisions and of global economic activity slowing down. Okay. That was the presentation.
Hanna-Maria Heikkinen: Thank you, Hakan, and thank you, Arjen. Now we will continue with the Q&A. [Operator Instructions] Handing over to the operator, please.
Håkan Agnevall: It's a very silent operator today.
Hanna-Maria Heikkinen: Yes, it looks like so. Maybe it was crystal clear already. Maybe while waiting, do you, Hakan, want to elaborate what was kind of what do you consider as key achievements last year?
Håkan Agnevall: No, I think we talked about it. All-time high in a number of dimensions. But not only the financials. We have, for the first time in Wartsila, we were recognized by Forbes as being in the top 1,000 employers in the world actually based on surveys that are made of our employees. So it also shows that we are on a very positive development when it comes to the culture of Wartsila and engagement of our people. I mean, we continuously have extremely high score, very high in our engagement surveys, which I find very, very positive. And I think, of course, now we are in a positive role, that helps. But I think also we know a couple of years back, it was tougher. I think the whole narrative on decarb and the focus on innovation and technology and services is really resonating with our people. So very good development.
Hanna-Maria Heikkinen: Thank you. So once again, handing over to the operator.
Operator: [Operator Instructions] The next question comes from Daniela Costa from Goldman Sachs.
Daniela Costa: But I wanted to start on getting a little bit more color on the 35% capacity increase. I guess, a couple of items related to that. But how much of that is already things that you have, let's say, on 1Q '28 you will open up? How much of that is already covered by things that you have on the backlog? And then would we have sort of any margin impact before 1Q '28 because you're hiring people? And how should we think about sort of like any financial implications before you open? But starting with that, and then I'll ask a follow-up.
Håkan Agnevall: So I think now what we can say, well, we are starting to open up our backlog. I'm referring to the slide that we presented here. So it's a new standard slide going forward. But I don't think it has reached 2028 yet. So I think it's a little bit early to open up there. I mean, I can say that...
Arjen Berends: Of course, we have orders for '28 already.
Håkan Agnevall: We have orders for '28. And for certain parts of our offering, I mean, engine types, as you know, we have different engine types, if you want to order a new engine of that particular type, the delivery time is definitely in 2028. Then we have other engine types where we can deliver at the end of this year. So it's a mixed situation. I think that is as precise as we will go. On the cost side, I think that, that will not affect our profitability in a major way going forward, so to say.
Daniela Costa: Got it. And then just as a follow-up. Can you talk a little bit about like how prices per megawatt have evolved '25 versus '24 and the general trend you're seeing given the demand has been so strong, particularly both for engines and turbines and everyone in this supply chain? So to have an idea of how the mix is also maybe improving going forward.
Håkan Agnevall: No. As I briefly mentioned before, I think the margins in our order backlog are going up. I mean, it is, of course, a very vibrant demand side. And so that leads to some pricing realization. But I don't want to go into the details. But it's developing. The margins are...
Arjen Berends: Positive.
Operator: The next question comes from Akash Gupta from JPMorgan.
Akash Gupta: My question is on your announcement on increasing capacity by 35%. So again, I mean, when we look at the other power equipment makers, the decision is not surprising. But I think what is different is on other guys, we have a lot of visibility from firm orders, backlog and some slot reservations. While at Wartsila, based on what you have reported, we don't yet see that. So I wanted to ask, like what has changed in the last few months that led to this announcement of 35% increase in capacity? Is this more bottleneck on these 50SG engines that has been commonly used by data centers based on your order announcement or anything that is in pipeline? But any clarity that you can provide behind this capacity expansion, that would be great.
Håkan Agnevall: So I mean, first of all, please note that we communicate around our technical capacity. And right now, and you see that in our Q&A document, which we also posted, 2025, we have been operating around 75% of our technical capacity. So 75% of technical capacity. Now the expansion is to expand the technical capacity with 35%. So then you understand we are coming from one level and going to another level over a few years. So that's one important element to look into. Now why do we do this? I mean, you could also say already in April last year, we took one step. We announced a EUR 50 million and where we started to expand, and now we continue. And the drivers, they are several. On the Energy side, yes, data center is clearly a driver and it's certainly there. We have several opportunities in various stages of maturity. You also saw we started the year in a very strong way. But it's not only about data centers. On the balancing power, the narrative is playing out still in the U.S., still in some other countries as well. And then on the, you could say, the traditional base load, we have strong demand in Southeast Asia, in Latin America. So it's a strong underlying demand situation overall in Energy. And on the Marine side, we continue to operate, as we talked about, even though we guide similar, this is on a very high level for us and in a good level. And we continue to see strength in cruise. We continue to see strength in offshore, in special vessels, to a certain extent, the containers as well. So it's more than data centers. And the expansion, just also to clarify, it's not only for W50. W50 is the standard energy engine. So you're right from that perspective. But this expansion is not for W50 only clearly.
Arjen Berends: The engine is very flexible. So you can swap slots quite easily.
Håkan Agnevall: Thank you for clarifying. The engine is very flexible, you run different engine models...
Arjen Berends: Correct. Yes.
Akash Gupta: And this 75% of technical capacity, that is on total engines, I mean, including Marine and Energy both together? Or is it just only Energy?
Håkan Agnevall: Total, both Marine and Energy.
Operator: The next question comes from Uma Samlin from Bank of America.
Uma Samlin: I just have one on the service opportunities for your data center orders. So far, it seems like most of the orders you booked are more on the OE side. And how should we think about the service opportunities there? I presume that a lot of the data center developers are not keen to do service themselves. How should we think about that, like the timing of those opportunities and the pricing power you have there?
Håkan Agnevall: So I think there will be a strong service business, first of all, because these plants will operate 24/7 with high requirements and uptime reliability. And that is a strong base for a good service business. Within the data center customers, some want to go to full O&M where we do the operation and maintenance. Some want to do a little bit more themselves. There is not one solution fits all. We will adapt. But if you sum it all up, it's very strong potential for service business there. And that has not started to accumulate in order intake yet.
Arjen Berends: So baseload opportunities -- baseload is good. The more running hours, the more service.
Uma Samlin: So when can we expect to see that coming into your orders then?
Håkan Agnevall: In the coming -- I mean, as we said, I'd say a little bit similar like on the newbuild side, that we are in negotiation with customers and service agreements. These negotiations are in various stages of maturity and they will -- certainly, some of this will materialize this year.
Operator: The next question comes from Vlad Sergievskii from Barclays.
Vladimir Sergievskiy: Could I ask about the Marine service business? The order intake growth rate slowed a bit from obviously very impressive levels historically. What's your outlook there? What's driving the slowdown? And perhaps what would be potential impact from the reopening of the Red Sea on the service opportunity that you have?
Håkan Agnevall: So if you look, I mean -- and you're right, Vlad, that if you look Q-on-Q we are down. And I think there are a couple of drivers. One is that in Q4 2024, we had a big order from Royal. And so that creates this effect. Then there is also some periodization. I mentioned that earlier on the agreement side, things moving from one quarter to the other. Similar also on the retrofit side, a bit of periodization from one quarter to the other. There is also a little bit of FX. Clearly, it's mainly U.S. dollar exposure. So those are combined. But our underlying message, and I'm reiterating it, we are above 1. And we have a positive outlook on the growth of the service business also in Marine.
Vladimir Sergievskiy: Super. Very helpful. And anything you can comment on potential impact of Red Sea reopening? Is it meaningful for your business? Is it not at all?
Håkan Agnevall: So I mean, what will happen and what I hear now, that there are some of the major liners, they are kind of testing. Of course, everybody is very much focused on the safety side. I mean, it's pretty obvious that right now, people have been running longer hauls south of Africa. And if you go back to the Red Sea, that will reduce the route that you travel. However, yes, first of all, that has not been -- I mean, the whole Red Sea has not been a major driver for our service growth. I would say there has been some addition but it's not a major driver. And there are some other elements because some people are also saying that the operators, they will go slower to try to compensate. So they will try to keep some of the fleet. I mean, they will not just scrap out vessels. So let's see how the -- I think the dynamic is a little bit hard to predict what will happen. It will have some impact on our service business but not a major impact.
Arjen Berends: Not majorly. And then also good to remind you that the majority of the vessels that sail through the Suez canal is two-stroke main engine. And that's the main engine running. We have, of course, a lot of auxiliary engines on merchant fleet. But typically, let's say, they don't run less or more typically on a journey.
Håkan Agnevall: And there is not a lot of cruise vessels going through Suez.
Arjen Berends: No, no, definitely not now.
Operator: The next question comes from John Kim from Deutsche Bank.
John-B Kim: Congrats on the results. If we could go back to Slide 5 where we talk about where you're indexed into contracting trends. It looks like you're addressing about 25% of the overall market just kind of correlating the two graphs, one on top, one on bottom. On that kind of better indexation over the next 3 years, is it fair to assume that there's production slots on these vessel classes already, i.e., within the contracting numbers, the mix is skewing to your favor over the next 3 years? Or am I reading too much into this?
Arjen Berends: Okay. If I understand your question right, let's say, is on these upper lines on the '26, '27, '28, do we have already contracts to be part of that? I would say the answer is yes. Because, let's say, our order books, as you could also see from the other slide, are getting longer and longer also in Marine. So clearly, let's say, we have orders for '27, '28. So they are part of those lines.
John-B Kim: Sorry, Arjen, my question is actually more on the production slots in the yards because yard capacity is still an issue...
Arjen Berends: But then can you repeat the question because then I misunderstood it most likely.
John-B Kim: Sure. So within those orders or that pipeline, do you have visibility on production slots? Are the yard constraints still valid? Or are these already planned in the yards for the next 3 years?
Håkan Agnevall: I would say it's a mix. It depends what type of vessel you're ordering. I mean, if you take on cruise, for instance, I think the slots are pulling out longer and longer in time. Whereas on certain bulkers or tankers, there are shorter lead times. But to Arjen's point, when we talk about Wartsila supporting or delivering to the shipyards, if you look at '26, '27, we clearly have in our order backlog deliveries for yard slots in '26, '27 and '28 as well.
Operator: The next question comes from Sven Weier from UBS.
Sven Weier: The first one is just following up on the announced capacity expansion. There, I was just wondering, I mean, if you say we raised capacity, technical capacity by 35%, should we assume that this is also raising the revenue potential by at least 35%, given where the prices per megawatt are heading? And I was also wondering why is the expansion only completed in Q1 2028. Because I think it's probably a bit more of a brownfield. Why is this taking like 2 years? That's the first one.
Håkan Agnevall: Yes. So of course, over time, if you expand a certain capacity, it will translate to revenues, so from that perspective. But then, and I know you know this, Sven, but there is also we have our production schedule, which is factory related. And then we have our project schedule, which relates to when we deliver to customers and the projects. And sometimes there is not a perfect correlation year-by-year. But I mean, the fundamentals, you're right. I mean, as we expand capacity, revenues will go up as well. Then, of course, with a twist, which is positive maybe from a revenue perspective. If we have EPC, then it's engine plus. Now I mean, we are not changing our strategy. Our focus is still having a majority of EEQ and less EPC. But we will still have EPC. So that will, of course, then you get leverage on the engine capacity that you have. Sorry, your second question?
Arjen Berends: It was on the capacity. Why only in early '28?
Håkan Agnevall: Yes, that's what I'm asking my team as well. Let's go faster. But on a serious note, I think there is lead time for equipment that we need in our -- for instance, in our testing facilities. These are big power equipment, they have certain lead time. The concrete needs to dry before you pit certain things in. And also it's also -- it's very -- since we are now we are really -- the team is doing a great job in trying to do a lot of things and squeeze it in, but there is a limit what you can do in one space, so to say. But believe me, we have really tried to accelerate still.
Arjen Berends: And to add, let's say, the supply chain needs to follow, right? So I think it's...
Håkan Agnevall: Very good point. I think the supply chain, as we all know, is critical. But however, I would say, I mean the partnership that we announced with Siempelkamp, and we wanted to make that point to show to the...
Arjen Berends: It's one example of.
Håkan Agnevall: That we are working very actively with our supply chain. That's just one example. We have a very good dialogue with our core suppliers, and we have long-term relationship. So it's a major work. We should not diminish the importance. But we are -- step by step, we are in a good role here to be able to go live in beginning of 2028.
Arjen Berends: If you have a nice factory with capacity, but you miss some parts, then you can still not make engines. So we need to make sure that the supply chain can follow.
Sven Weier: That makes sense. Just maybe on the Energy margin itself. I mean, obviously, impressive outcome here. But when you look at GEV and Siemens Energy, they've obviously given new long-term margin outlook for the divisions that obviously looked quite nice. I was just wondering, I mean, are you planning kind of a Capital Markets Day for this year where you also intend to give us revised new longer-term margin targets, at least for the Energy business?
Håkan Agnevall: I think this is a very relevant question. We fully understand it. We will have to come back and answer it. I don't have the answer today. But clearly, we understand the logic for the question.
Operator: The next question comes from Max Yates from Morgan Stanley.
Max Yates: Just sorry to come back on this capacity expansion. You talked about the fact that this was in addition to the announcement that you announced kind of last year. So I guess if we just look at kind of the base in terms of what you're delivering today, it looks like kind of 1.2 gigawatts in terms of deliveries when I back it out of your revenues. Just thinking about what is the total technical capacity increase when we include this latest round, but also what went before? And I guess I'm trying to tie it back to this year in terms of sort of megawatts, it looks like your orders are roughly around EUR 2.3 billion. Is that the kind of end technical capacity that we should be thinking for in terms of what you can deliver when we look out to 2028?
Håkan Agnevall: I understand the -- here, we will not be so explicit. I mean, for instance, we will not give out the megawatts. I know some of our competition is doing that. We are very happy because we make a lot of analysis of those data. We don't want to give out those data. So that's why we are talking about where we are moving in relationship to our technical capacity. So as I said, 2025 full year, 0.75% of technical. And then beginning of 2028, once we have commissioned this, we will have a technical capacity that is 1.35%, so to say. So you see where we are going from and where we are going.
Arjen Berends: It's about 80% up then from the operating level.
Håkan Agnevall: Correct.
Max Yates: Okay. But we shouldn't assume that you had a given capacity, you increased it last year, and then this 35% comes on top, 35% of the total, all in.
Håkan Agnevall: That I can be very clear. I mean the April announcement, EUR 50 million, you could say that is also coming online in connection with this additional EUR 140 million. So it's not on top. You could say we are going from 0.75%, 2025 to 1.35% in beginning of 2028. And that is including all the investments that we have announced.
Max Yates: Okay. And sorry, maybe one quick clarification. When we look at your data, when we look at your orders this quarter in Energy in new equipment, you did 520 megawatts. I mean, it looks like it was almost entirely that data center order that you booked. And yet the value per megawatt on the orders is only about EUR 0.7 million per megawatt. So I guess I'm just trying to square the fact that kind of we're talking about pricing on these data center orders being very good. We're seeing huge numbers in terms of dollars per kilowatt coming out of the gas turbine guys. Yet when I very simply look at your Q4 number, which I know is mostly the data centers, I don't see that kind of uplift. So maybe if you can help us understand. It doesn't look like you're getting a huge price uplift to these data center customers based on what you booked this quarter.
Håkan Agnevall: Well, I can say like we stated, we have definitely improving our order backlog and we are on a good journey there. I would rather say it shows that we are very competitive.
Max Yates: What does that mean? Sorry. That means you're pricing aggressively versus the other...
Håkan Agnevall: No, that we can improve our profitability and be very competitive with the gas turbine competition.
Arjen Berends: And also with other engine manufacturers.
Håkan Agnevall: And just for clarity, I mean, I understand your analysis, but I should also say it so we are fully clear, there was more than data center orders. But the data center was a major chunk of the order intake. So from that perspective, you're right.
Operator: The next question comes from Panu Laitinmaki from Danske Bank.
Panu Laitinmaki: I actually wanted to ask about the same topic. So it seems that in Q4, majority of the energy equipment orders were the single data center order. Just a bit surprised, like why didn't you get more of the other orders? Was it just timing? Or was it tariff-related delays? Or did you increase pricing so much that there were delays? Or what caused this?
Håkan Agnevall: So first, I mean, this is a project. I mean, Energy is a project business. Power plants, whether they go for data centers or balancing power, you negotiate. And sometimes, you don't close the deal in the end of December or the 20th of December. You close it in the 15th of January instead. And that's why I underline, look at how we started the year with 550 megawatts. One is clearly the biggest one there is for a utility, that the demand is driven by data center. The smaller one, I would say, it's one of our traditional, you can say, it's balancing borderline baseload. I think that's the answer to your question. It's about periodization.
Panu Laitinmaki: So if I can ask about a follow-up, what does your pipeline in Energy equipment orders look like? So if you would directionally comment, like if things go as you plan in first half or full year this year, will it be like half of orders coming from data centers, half balancing? Or any comments how does it look like?
Håkan Agnevall: No, we don't go into those details. The only thing I can point to is the guidance. It's going to be better.
Arjen Berends: It looks good. Otherwise, we would not extend capacity either.
Håkan Agnevall: Yes. And I think there are some really -- look at how we expand capacity, look at how we communicate. We increased the guidance. We give an extra dividend. We are on the road.
Hanna-Maria Heikkinen: We are running out of time. We still have one additional slide. It's regarding our data center theme call, which is taking place next week. So it's an excellent opportunity to continue the discussion, what are Wartsila's opportunities in growing data center market. Besides Hakan and Arjen, I'm very happy that also Anders Lindberg, President of our Energy business, will join the call. So hopefully, you can also be there. And our Q1 report will be published on April 28. Thank you.
Håkan Agnevall: Thank you for today, and a warm welcome to our data center call. Looking forward to that.
Arjen Berends: Thank you.